Operator: Thank you for standing by, ladies and gentlemen. And welcome to Coca-Cola HBC’s Conference Call for the 2022 Half Year Results. We have with us Mr. Zoran Bogdanovic, Chief Executive Officer; Mr. Ben Almanzar, Chief Financial Officer; and Ms. Joanna Kennedy, Head of Investor Relations. At this time all participants are in listen only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must also advise that this conference is being recorded today Thursday, August 11, 2022. I now pass the floor to one of your speakers, Ms. Joanna Kennedy. Please go ahead. Thank you.
Joanna Kennedy: Good morning. Thank you for joining the call. Zoran and Ben will present our half year 2022 results and following that we will open the floor to questions. We have just over an hour available for the call today, which should leave over 30 minutes for questions. We will therefore ask you to keep to one question and one follow up before joining the queue again. Before we get started, let me remind everyone that this conference call contains various forward-looking statements. These should be considered in conjunction with the cautionary statements on the screen. This information can also be viewed in our press release issued today. Now let me call -- let me turn the call over to Zoran.
Zoran Bogdanovic: Thank you, Joanna. Good morning, everyone, and thank you for joining the call. The first half of 2022 presented unique challenges for our people and the business. We are deeply distressed to see the human suffering that the ongoing conflict in Ukraine is bringing to millions, including many of our people and their families. Their safety remains our number one priority. We continue to do all we can to support our people on the ground with immediate financial and practical assistance, alongside donations towards the humanitarian effort. Despite these challenges, our business delivered strong financial results for the first half and made clear progress on our strategy. This demonstrates the winning spirit and resilience that is part of our culture. I want to thank our passionate and engaged people for making Coca-Cola HBC a better business every day. Also, a very big thanks to all our customers, the Coca-Cola Company team, Monster Energy team and all our other partners for their trust and collaboration. Looking at our progress, five things really stand out to me. One, during challenging times we focused on delivering against our strategy, centered on five growth pillars. The benefits of this are evident in our strong half year results today. Two, we continue to drive strong, well balanced revenue growth combined with share gains. And we are creating value for customers, we were the number one contributor to revenue growth across our retail customers. Three, in very challenging circumstances our supply chain has been flexible, our hedging policies robust and our cost structure adaptive. Four, we are seeing the benefit of years of investment behind our prioritized opportunities in the portfolio and across our capabilities and we continue to invest for the future. Let me pull out just two examples from the portfolio, we have invested behind opportunities in Adult Sparkling over several years. This has enabled the consistently strong growth we are seeing there. We have now added a new super-premium brand with the acquisition of Three Cents. Similarly, we have been investing ahead of the curve in Coffee, building out dedicated teams and investing behind coffee specific capabilities in revenue growth management, route to market and data, insights and analytics. Finally, the strength of our partnership with the Coca-Cola Company, has meant we can make decisions quickly when necessary and continue to develop significant growth plans for the future. Let me give an update on Russia and a few financial highlights and then Ben will address both in more detail later. Following the decision and announcement of the Coca-Cola Company to suspend their business in Russia, we immediately stopped placing orders for concentrate in March. Over the course of Q2 we wound down the Coca-Cola brands in the market and that is now complete.  Following this we retain a much smaller self-sufficient presence in the market focused on local brands. The local management team have been developing plans and adapting the business to the cost base, including rightsizing the operations to ensure they can support our people and be immediately financially self -sufficient. Moving to the financials, there are three key highlights for me. First, we have benefited from sustained momentum. Excluding Russia and Ukraine, Q1 and Q2 volume growth was remarkably consistent at 12%. Two, we have continued to achieve strong price/mix across our portfolio and markets, while gaining share. Revenue growth management capabilities are allowing us to do this. Finally, the strong EBIT growth, despite a very challenging input cost environment. Let’s dig into the volume momentum we are seeing at the category level. I am going to focus here on performance excluding Russia and Ukraine, which gives a better understanding of the underlying momentum. Sparkling continues to be the main growth engine, with consistently strong performance in Low/no sugar variants as well as Adult Sparkling. Energy volumes grew by nearly 29% and the category continues to increase its contribution, improving revenue per case, as well as EBIT margin. We have seen a good recovery in Stills as out-of-home has returned and we gained share in at-home. We continue to take a targeted approach to our local offerings, focusing on brands and packs where we can drive healthy revenue per case. Coffee continues to show good momentum, helped by our focus on the out-of-home channel where we have been signing on new customers and expanding the footprint of express machines.  Our end consumer remains healthy. Our markets are still enjoying a post-pandemic boost, propelled by very strong out-of-home performance, while the at-home channel continues to perform. And while our consumers are seeing the impact of inflation in their shopping baskets and energy bills, unemployment remains low and savings relatively high. This has led to a favorable market environment for beverages. Private label continues to lose share in Sparkling across the majority of our markets, both in value and volume terms. That said, we are vigilant for changing consumer behavior. We have regular conversations with our customers and are watching for any change in order levels that might indicate a slowdown in demand or the need for even more affordable offers. What’s important here is that we have a very flexible portfolio. This means we can easily adapt our offering to focus more on affordability, while still enhancing revenue per case and I will share more on that over the next few slides. Our RGM strategy is crucial in this dynamic environment. But what is new in the last three years is that RGM is significantly strengthened through our capability around data, insights and analytics. Data and analytics create opportunities for deeper understanding across our markets, creating insights which can inform our choices. Capitalizing on these insights, we see further opportunities to better segment our customer base, predict demand at a granular level and to improve the return on promotional spend. For example when we launched our smaller single serve in Bulgaria we were able to micro segment outlets to target those with high traffic from students or in Italy, where careful analysis of relative elasticities between zero and regular offerings led us to adjust promo levels, increasing overall revenue generation. Enriched with more data, I am confident that our revenue growth management tools equip us to make better and faster decisions, helping us to continue to gain value share and to drive revenue growth in a changing environment. While we often focus on the premiumization end of RGM, it can also help ensure we remain affordable while enhancing revenue per case. It is important to note that when we talk about affordability, we do not mean only large 2-litre bottles, rather we mean using smaller entry packs at attractive price points to meet consumer spending needs, while still driving up revenue per case. For example, in Poland where we launched an 850 ml pack in place of a 1-litre or in Italy where we launched a 660 ml pack. These two different packs were tailored precisely to their specific market dynamics. Equally, a focus on affordability does not mean reversing our progress on single serve. Again, we can use single serve price points to meet affordability needs in a healthy way. With smaller single serve packs or smaller multi-packs of single serve. The focus is transactions, revenue growth and value share rather than just volume. We have well-honed capabilities on managing affordability from our markets. Africa, for example, requires very specific affordability offers and here we use returnable glass packages to make the product accessible for a large segment of the population. Finally, our experience is that even in more difficult economic environments, premiumization trends continue. There is always going to be a segment of the consumer looking for a premium experience and the strength of our offering in Adult Sparkling, glass package formats and premium coffee, combined with our improved ability to segment our customer base, places us strongly to address that opportunity. We are making significant strides in digital commerce, which is generating incremental revenues and valuable data. Customer Portal, our largest B2B platform, has more than 200,000 registered customers. As you can imagine, we monitor a lot of KPIs to evaluate our performance in B2B, but in our view, the most critical KPI is growing the number of customers. That is because, while it is relatively easy to switch revenues from physical to digital ordering by switching a few large wholesalers or key accounts, this does not create much incremental business or provide much incremental data to improve your offer. By contrast, we have focused on building a last-mile solution to customers, which brings us new outlets and valuable data, which we can use to micro segment our customer base and run targeted, diverse campaigns for different groups. Customer Portal accounted for 8.4% of orders in June. The pace of the overall growth in the first half has been lower than anticipated due to the negative impact from Russia, but we are seeing very encouraging progress in several other markets and we are excited by our progress and opportunities. Egypt offers huge opportunity due to its size, demographics and potential for increasing per capita consumption and market share. We have hit the ground running since we completed the acquisition in January by immediately getting the teams together to develop our key execution capabilities, revenue growth management, route to market, and data, insights and analytics. Let me give you a few examples. In only a few months we have doubled the number of coolers in the market and we continue to accelerate placement. And we have strong plans to improve the portfolio in Egypt with new product launches, to generate growth and improve revenue quality further. We are seeing early success from our strategy in a market where, historically, the Coca-Cola brands were losing. However, year-to-date, we have arrested losses and are gaining share. We see huge potential for this market and are really excited about what is to come. As I have said before, we are determined to remain a leader in sustainability. There are two milestones I am particularly proud of this quarter. In May we made significant progress on our packaging agenda by launching our entire portfolio in Switzerland in recycled PET. At the same time, we also launched Valser water in a label-free bottle. We will continue to work on similar launches across other markets. In June we made an important commitment to enhancing biodiversity by joining the Science Based Targets Network corporate engagement program and committing to achieve a net positive impact on biodiversity in critical areas of our operations by 2040. I will now pass over to Ben to take you through the financials in more detail.
Ben Almanzar: Thank you, Zoran, and good morning, everyone. As you know, our financial performance in half one has been distorted by Russia and Ukraine. This slide excludes Russia and Ukraine from organic volume and revenue to appreciate the combined performance of our other 26 markets. We closed another quarter with good topline momentum, leading to half one organic revenue growth of 25.2%. The split between 12.1% volume growth and 11.6% revenue per case expansion was well-balanced. As Zoran noted, we are actively driving volume growth in our strategic priorities. When it comes to revenue per case, pricing was the largest contributor, accounting for approximately two-thirds of the improvement in the period. The other third came mainly from package, category and channel mix. On package mix, we have certainly benefited from the reopening of the out-of-home channel. More importantly, we are actively evolving the portfolio and successfully meeting an increasing number of consumer occasions with single serves. To give you a sense of progress, single serve volumes grew by 13.5% on an organic basis in half one and now account for 48% of total volume sold. Category mix also improved, with the faster growth in contribution from Sparkling and Energy being the most important drivers. Finally, the strength of performance in the Established segment resulted in positive country mix contribution.  During half one, we navigated global supply chain disruptions, no small feat. We are very proud of the work done by our teams adapting to maintain supply. We have seen significant inflation in COGS from commodities and energy, as well as cost pressures in production and overheads. Concentrate costs increase along with revenue per case expansion, so our strong achievements in driving quality revenue growth also drove some COGS inflation in half one. Looking forward, we do not expect inflation to ease in the second half and for the full year we now expect COGS per case to increase in the mid-teens.  In managing input cost inflation we are benefiting from the improvements to price and mix that both Zoran and I have discussed today, which are driving our revenue per case expansion. In half one we benefited from solid hedge positions and long-term contracts with our suppliers. We expect that to continue to help manage inflationary impacts in the future. We continue to focus on productivity improvements in our supply chain, for example, with warehouse automation, predictive maintenance and automatic changeover of production lines. And finally, discipline on operating costs is part of the company’s DNA and we plan to deliver more efficiencies as we grow revenues. Let’s look at how we used those tools in half one. Organic EBIT grew by 23%, with margins expanding 30 basis points year on year. Let’s unpack that. Despite robust price and mix expansion and productivity savings, we were not able to fully offset the inflationary pressures I just mentioned at the gross profit margin level. Nevertheless, further down the P&L, while we expanded marketing by 9%, we maintained strong cost discipline on OpEx, which helped to protect profitability. OpEx as a percent of revenue improved by 250 basis points. This has helped to drive a 30 basis point increase in organic EBIT margins. Turning now to the drivers of performance on a segmental basis. Organic revenues grew by 19.1% in the Established segment. We are very pleased by the robust revenue per case expansion, combined with an acceleration in volume growth in Q1 -- Q2, both versus 2021 and versus 2019. All the markets in the segment performed well, but let me highlight Italy where strong execution of summer activations drove double-digit volume growth in the market and across our strategic priorities in Sparkling and Energy. For the segment, comparable EBIT grew 26.5% and margins expanded 60 basis points organically, mainly due to operational leverage on revenue growth. In the Developing segment, organic revenue grew by 33.6%, benefiting from broad-based and well-balanced strength across the markets in the segment. We achieved particularly strong share gains in Poland in both NARTD and Sparkling, which is encouraging to see in the year after the sugar tax impacted the market. EBIT grew by 63.8% organically, with a 120-basis-point expansion in margin. As Zoran noted, our presence in Russia is significantly smaller following the suspension of Coca-Cola brands. As a result, we recognized charges of €190 million in half one. For the avoidance of doubt, €188 million of these charges are non-cash and none of them affect our comparable metrics. Going forward, we are fully consolidating Multon and we have included this impact in our EBIT guidance. Performance in the Emerging segment was impacted by the winding down of inventory in Russia and the temporary suspension of operations in Ukraine. Excluding these markets, volumes would have been up high-single digits, rather than down low-single. We have continued to gain value share in Nigeria benefiting from volume growth and significantly improved revenue per case driven through both price and mix. EBIT grew by 15.5% organically, with a 20-basis-point improvement in margins as positive price/mix offset cost pressures. Further down the P&L, we see comparable EPS expansion of nearly 34%. Finance charges increased by 23%, as we consolidated Egypt into the P&L. Looking forward to the full year, we expect finance charges to be approximately 15% to 20% higher than in 2021, similarly due to the consolidation of Egypt. Our comparable tax rate of 25% was at the bottom end of the guided range of 25% to 27% due mainly to country mix. While CapEx as a percentage of revenue was below our guidance range in half one, we expect an increase in the second half as we accelerate investments in our strategic priorities and critical capabilities. This includes deploying capital behind capacity expansions in growth markets and placing coolers to drive single serve mix. We would expect full year CapEx as a percentage of revenues to remain within the 6.5% to 7.5% range. All of this has delivered another strong performance on free cash flow, up 20% year-on-year. It is likely that cash conversion in the second half will not be as strong as the first, given the expected increase in CapEx mentioned. Our balance sheet remains a clear source of strength for the business. We have significant fire power for all of our capital allocation priorities including organic investment and M&A. We maintain a progressive dividend policy and at the start of August we paid a dividend of approximately €260 million, a pay-out ratio of 45%. We expect to see net debt to EBITDA within the 1.5 times to 2 times targeted range by year end. Turning to the outlook. We have high confidence in our business and expect to be able to generate positive organic revenue growth at a Group level. While volumes will be negatively impacted by Russia and Ukraine, outside of those markets we continue to benefit from good momentum and excluding Russia and Ukraine we expect double digit organic revenue growth. Revenue per case delivery has been strong in half one and we expect to continue to benefit from actions taken on pricing and continued focus on mix. That said, pricing was weighted to half one and our comparative is more challenging in half two. As noted earlier we now expect COGS per case to increase by mid-teens for the full year. And finally, our expectation is for our local Russian business to be immediately financially self-sufficient, however EBIT generation from Russia will be much lower in half two than half one despite the extra contribution from the consolidation of Multon. As a result of all of these considerations and remaining mindful of macro-economic and geo-political risks, we expect 2022 Group comparable EBIT in the range of €740 to €820 million. With that, I will hand back to Zoran.
Zoran Bogdanovic: Thanks Ben. I am proud the strong performance we reported today and even more than that, the groundwork and investments we are making to capture the potential in our markets. We have enormous opportunities. The category we operate in is large and growing and our 24x7 portfolio allows us to address every beverage consumption occasion. We operate in highly attractive geographies, with growth opportunities across Emerging, Developing and Established markets. We are successfully navigating short-term challenges and investing in long-term opportunities. Our people, culture and capabilities remain a distinct competitive advantage and we continue to make good progress on ESG and are determined to remain leaders here. Looking to the future, we remain confident in our strategy and in our ability to continue to deliver long-term growth and shareholder value. Thank you for your attention. And I will now hand over to the, Operator, and Ben and I will take your questions.
Operator: Thank you. This is conference operator. [Operator Instructions] The first question is from Simon Hales with Citi. Please go ahead.
Simon Hales: Thank you. Good morning, Zoran. Good morning, Ben. Good morning, Joanna. And thanks for presentation. I wonder if you could talk a little bit first with regards to your guidance range for 2022 sort of please, obviously, it’s a very broad range that you have set out there, it’s helpful to have it. But could you talk a little bit about the assumptions you are making to get you to either the top end or bottom end of the range? I am thinking especially with regards to how you think about the consumer backdrop, perhaps, into the back end of the year, even given the toughening macro environment? And maybe associated with that and then maybe for Ben, I mean, you mentioned, obviously, the full consolidation of Multon from now. Could you just walk us through some of the moving COGS sort of there and how it will impact EBIT for the year? And then my follow-up question, if I can throw it at you now, which is how do we think about sort of COGS pressures into 2023, is there anything you can give us at this point in terms of the level of inflation you expect, how hedged you are, et cetera, already for 2023?
Ben Almanzar: All right, Simon. Simon, thank you. So let me start with your first question on the guidance and the implied EBITDA we are seeing there. So we have guided to comparable EBITDA of €740 million to €EUR 820 million and this encompasses a range of possible scenarios for the business and the external risks we face. Notice that, that guidance incorporate that expectation of COGS per unit case inflation in the mid-teens and we are also prudently assuming a degree of consumption slowdown in Q4. So the lower end of that EBIT guidance, we will need to see a consumer environment that we can far more than expected, a material slowdown in demand from September until Q4. The COGS per case inflation may creep towards the higher end of the mid-teens. And on FX, our current expectations are based on spots and our hedge rates, which imply an FX impact well below 2021. This could change given the volatile macro and geopolitical backdrop that we are operating. Now if I move you to the top end of the EBIT guidance, what we will see is a continuation of strong topline momentum across our markets. We will see that the expected volumes go down in Q4 is less material than anticipated. And very importantly, no incremental inflation in half two beyond that COGS range that we have defined, okay? So if I move on to your next question, which is on the consolidation of Multon. So basically, look, Multon already appears in our EBIT. We have been consolidating 50% of the net profit of Multon into our Emerging and Group EBIT. That’s through the share of results of integral equity method investments line. From today, we will start consolidating Multon as a subsidiary at 100% of each line. This means that in 2022, we will have scope impact from Multon for 4.5 months. So that will be 100% of the volume revenue. For EBIT, we will have 4.5 months on the additional 50% of EBIT, plus if you have been precise also, we need to include the tax in there. We will provide disclosures on this in our annual report. If basically, you do the math, we are talking about -- it’s an impact on the mid-teens million. Half one share results was higher and it will be reasonable to think that Multon drove much of that in half one. But notice that it benefited from FX, so about one quarter of that EBIT delivery, as well as the pricing action that we implemented in the market. So net-net, you should be thinking about €15 million to €20 million when it comes to Multon. And your last question, Simon, was around how do we see inflation developing and what are the expectations for 2022 -- 2023 specifically? It is early to provide guidance in 2023. That said, we are preparing for another year, where we will see inflationary pressures, but less than we have experienced in 2022. For 2023, we are slightly better hedged than usual in major commodities, ex-Russia and we continue to look for opportunities to increase that as the year progresses.
Simon Hales: That’s brilliant. Thank you so much.
Operator: The next question is from Sanjeet Aujla with Credit Suisse. Please go ahead.
Sanjeet Aujla: Hi, Zoran and Ben. My first question is just zoning in on some of your emerging market, in particular, Nigeria and Egypt, where I think volumes have decelerated a little bit in Q2 there. So just love to get your take in terms of how you are managing the trade-off between volume and price/mix in those businesses. And if you are seeing any signs of consumer demand softening or whether that slowdown is a function of just tougher comps kicking in, please? That’s my first question.
Zoran Bogdanovic: Hi, Sanjeet. Thank you. So, first of all, to say that the Emerging segments continued to be a very strong growth driver for us in the second quarter with a very strong double-digit growth, if I exclude Russia and Ukraine, and this comes from a good blend of volume, but even more of price/mix, which clearly reflects, as also Ben highlighted in his remarks, that our revenue generation was more driven from price mix and within price mix from pricing. Now mainly in Nigeria, we had a very good high single-digit performance in the first half. Let me just remind that, that was against very strong comps that we had last year. But I would emphasize in Nigeria, very strong price mix that we are seeing in the first half, which is in the high 20s and that’s again -- against also quite strong comps of last year. So that’s very conscious and mindful play that we have in Nigeria. We haven’t seen so far any slowdown or down trading as we have carefully crafted the plans with both affordability, as well as the premiumization parts of the portfolio and we stay very alert to observe, if anything, will change and if we would need to react with some more affordability. But as we highlighted in our remarks, we do expect that because of the whole situation and pricing that everyone is doing, not only us that we would see probably after the summer, end of Q3 and definitely in Q4, we do see some slowdown coming, the only thing is to see the magnitude of it. But that’s what I would highlight. And just to conclude that, I am very pleased with the performance of Nigeria, which now continues to be quite in continuity for some time.
Sanjeet Aujla: Great. And just on Egypt, to what extent is…
Zoran Bogdanovic: Yeah. That…
Sanjeet Aujla: …macro environment presenting a bit more of a challenging backdrop than, perhaps, what you were anticipating…
Zoran Bogdanovic: Yeah.
Sanjeet Aujla: … from you consolidated for certain...
Zoran Bogdanovic: Yeah. Yeah.
Sanjeet Aujla: Yeah.
Zoran Bogdanovic: Yeah. Firstly, I just want to say that we are very privileged to have Egypt now as a part of Coca-Cola Hellenic. And first, let me say that the whole integration that our central team together with local team are doing, are ahead of the plan. There is a great deal of passion and commitment and drive that everyone is putting behind it. You rightly said, the whole macro environment has become more challenging with inflation going from mid-single digits to mid-teens and we have seen also the currency devaluation that now has reached to around 21%. And on top of that, we know that Egypt is a big importer of wheat from Ukraine. So, in that case, basic foods like bread and corn have seen inflation, and that is, in some way, hurting consumer disposable income, which means that we have to prioritize our price mix actions and also do the pricing, which anyway was in our plan, but this was brought forward just in reaction to the environment as it has evolved. And that just proved that our prioritization of capabilities, strengthening and building in Egypt, which starts with revenue growth management, route to market and data insights, analytics just proved right. So as we speak, there is an intense work going on that I am personally very pleased about the progress. And in spite of this somewhat more challenging environment, I remain nothing but confident about the potential of this country going forward and we are going to sell through that.
Sanjeet Aujla: And just as my follow-up, just on Russia, clearly, evolving the business model there towards a local portfolio, but can you just talk a little bit about the economics of that business just given, I guess, a big chunk in your cost whether in concentrate, and clearly, that’s no longer there. But should we anticipate the level of medium-term profitability margins you can get out of Russia with the new portfolio to be comparable to what you had in the past or perhaps not so?
Zoran Bogdanovic: Yeah. Sure. Let me start and then, Ben, please jump in with some more color there. So, with local brands, benefiting on the fact that these are well established local brands. They have solid profitability and that combined with the fact that also we started with some rightsizing -- cost rightsizing actions, gives us the view that this business can and will be immediately self-sufficient. Just a reminder that with close to 50% volume decline in Q2, in any circumstance, we would react with the cost actions, but in this circumstance, we have especially reacted with immediate actions, which are doing the cost rightsizing and that gives us this view, as I said, on the economical self-sufficiency. I will hand over, Ben, to clarify a little bit more on the margin.
Ben Almanzar: Yeah. Absolutely. Thank you. Look, on the 2022 financials, what we have pegged is the new model to be immediately self-sufficient, as Zoran rightly said. Therefore, we don’t assume that Russia will be loss making this year. That said, half two will be much reduced versus half one and let me explain some of the drivers. In January and February, the business performed extremely well. Then we entered a phase of depleting inventory of TCCC brands until the end of July. We stopped investments in Russia. We got promos and marketing spend. We increased prices and prioritized the most profitable SKUs and we will not invest new capital into the market. Now from August 11th, we are starting the new model as a local business. That local business will focus on juice and water, gradually looking into run extensions. We are consolidating 100% of Multon, as I have previously mentioned, and as a consequence of that, we are also taking a noncash charge of €188 million in the form of impairments and write-offs, which are essentially the impact of the decision. And as we look ahead in half one 2023 is likely to face a similar trajectory than what we are seeing half two 2022 on challenging comparatives. Therefore, even with 100% of Multon for the whole year, that EBIT contribution from Russia is expected to be lower next year. Again, as Zoran will said the local business will develop its portfolio of possible brand extensions, further adapt the cost base and essentially that’s how we see Russia playing out.
Sanjeet Aujla: Great. Thank you, Ben and Zoran.
Operator: The next question is from Mitch Collett with Deutsche Bank. Please go ahead.
Mitch Collett: Hi, there. And I’d like to ask a question that I think is a follow-up to that one. And so the Russia business in 2023, obviously, is going to be facing a period when you still sold Coke products. Can you perhaps help us quantify how much of a drag do you expect that to be in 2023 and then maybe a way to do that would be to give us a sense for the level of profits that you achieved in Russia in the first half or indeed in the first quarter, just so we can try and get a sensible estimate for 2023, once that it is effectively scoped out, I know it isn’t scope, but just help us get to the right answer to 2023?
Ben Almanzar: Thanks, Mitch. Look, it’s early. And we are only starting with the business. So 2023 where we are aiming as a Group is for EBIT growth, but I will not provide granularity on specifically on the Multon in Russia.
Mitch Collett: Okay. Understood. Thank you.
Operator: The next question is from Richard Felton with Goldman Sachs. Please go ahead.
Richard Felton: Thanks. Good morning, everyone. My first one is a follow-up on input costs, say, obviously, you have not structured your guidance for COGS per case to mid-teens this year. Can you just remind us what part of your COGS are not hedged for 2022? And then perhaps related to that, what percentage of your COGS is linked to Energy either through direct usage or indirect usage? That’s my first one.
Ben Almanzar: Richard, can you hear me?
Richard Felton: I can hear you now.
Ben Almanzar: Yeah. Very well. So, basically, what we are seeing -- you were asking first about hedging, specifically. So what we hedge is essentially the PET resins, aluminum and sugar. These are key drivers of our input costs. And if you think about 2022, we are well-hedged with over 85% on major commodities associated with input costs. Obviously, as the year progresses, we will continue to look for opportunities to ensure that we are well covered. You had a second question?
Richard Felton: Yeah. Maybe just sort of a follow-up on that, I mean, in terms of your exposure to energy costs for the rest of this year, is that something you have good visibility on or is that something that could cause a bit of a difference compared to the mid-teens guidance that you have issued today?
Ben Almanzar: No. Look, like other CPEs were experiencing both direct and indirect energy costs. We think it’s more helpful to share how we expect COGS per unit to evolve instead of getting -- drawing to the specific levels, increased by individual lines. But, clearly, energy inflation is one of the drivers pushing COGS per case into those mid-teens, the increase that we are communicating today.
Richard Felton: Okay. Very clear. Thank you. And my second question is a slightly broader one on mid-term targets and the 24x7 portfolio strategy that as Zoran outlined at your CMD in 2019. So, obviously, since then, the business has had to deal with a huge amount of volatility between COVID and geopolitical events. But if I look at the organic growth that CCH has delivered since then, it’s actually been slightly better than the 5% to 6% target that you outlined. Now today, you have got slightly more pricing, you are going to have Egypt contributing to organic numbers, progress you have made on Coffee and Energy. So how should we think about the growth potential from a topline perspective for CCH over the next few years? Thank you.
Zoran Bogdanovic: Yeah. Thanks, Richard. That’s a good question. First of all, as a reminder, when we said, in June 2019, that our 5% to 6% was the average growth rate that we see per year up to 2025, which meant that, in some years, it might be below the range, but also, we clearly said that there will be years where this will be above. And clearly, this year, excluding Russia and Ukraine, clearly is such year where we see where we see double-digit growth rate. Now too early to tell how we look into the next year, as Ben said. But we are confident about our algorithm that we guided for and actually we are confident to be at least, on the upper end of it.
Richard Felton: Great. Thank you very much.
Operator: The next question is from Edward Mundy with Jefferies. Please go ahead.
Edward Mundy: Good morning, everyone. And Zoran, just a question for you, I mean, you have been at the business for 25 years or so and you have seen a number of cycles, I mean, you are there after in terms of financial crisis in Europe, I mean, it really took a time for the worst. And I guess the risk back then was consumers left the category and went back into water, tea or coffee. Could you talk through how the business is different relative to history in terms of the portfolio, perhaps, some of the RGM capabilities, digital, do you have some of your insights and how does that really help you protect the business going into a potentially softer consumer environment?
Zoran Bogdanovic: Hi. Yeah. Yeah. Thanks for reminding me on my tenure. But good question. Look, in this close to 26 years, I have seen -- it’s a dynamic and tectonic evolution of the business. When I compare how portfolio has evolved as -- to start with, as you mentioned, it’s dramatically different. We are truly becoming a 24x7 total beverage company. I am pleased and proud that together with Coca-Cola Company, we are leading this development, respecting consumer needs and really catering all possible caterings to them. So some years ago, we didn’t think we will be in the Coffee or that we would be in flavored alcohol beverages. So I think it’s a super exciting development and that portfolio evolution is one of those reasons why I believe that this industry that we are playing in has an excellent growth potential both in terms of the revenue and bottomline. So that’s one thing. Second thing is that capabilities are on a different or very different level and it’s a result of the conscious choice and investments that we have been making for a number of years. When I compare revenue growth management, for example, now and versus five year, 10 years ago, it’s night and day. Today this is a serious capability with serious resources, tools, systems and methods that we are doing. Complemented with something that even myself maybe five years ago didn’t think that we would have today a team of science -- data scientists, translators who are leveraging abundance of data that this company has and that we can really now use to our advantage, because to remind that no other company, I believe, can do that, because it’s not only about buying external data, but it’s also the data that our -- a huge number of market and business developers that are everyday, visiting customers are collecting. Also route to market, which is today also being digitized, only two years ago, we didn’t have a team so dedicated and focused behind digital and digital commerce like we have today and such resource capability and teams is driving strong growth that we are seeing in our digitized revenue. So portfolio capabilities, I have to mention also the way this company has been committed to the sustainability agenda for more than a decade with serious investments and commitment contributes to the evolution of this organization. And lastly Ed, I know you are also quite passionate about that topic, it would not happen without the evolution of the culture and development of our people. I know this can sometimes sound kind of theoretical. But I truly believe that this is what gets us through COVID of this world and all crisis that we went through and we take this as our lighthouse capability and we are super committed behind that and I see that as the critical catalyst of this organization today and going forward.
Edward Mundy: Thank you, Zoran. And just as a follow-up, clearly, there’s an awful rain over the summer, talk of droughts and seen a little pressure. Could you talk to any pressure of you are seeing from a water perspective and how is the company sort of able to navigate that environment?
Zoran Bogdanovic: You mean water availability for our production?
Edward Mundy: Correct. Yeah.
Zoran Bogdanovic: Yeah. Yeah. No. It’s a good observation. However, we did not have any issues with that, either with water or any other raw material and thanks to fantastic partnerships with our suppliers. But also, we -- especially in the water scarce areas, we are doing various methods and systems not only for us, but equally for the communities where we operate. So we did not have any issue neither I foresee it.
Edward Mundy: Great. Thank you.
Operator: The next question is from Alicia Forry with Investec. Please go ahead.
Alicia Forry: Hi. Good morning, Zoran, Ben and Joanna. Thanks for the question. I wanted to dig into the single serve impact on the business in H1. It sounds like it was a big driver of presumably volumes, profits and that is something you specifically targeted with your RGM initiatives. So I am just wondering how much of that in H1 might have been due to your own efforts to push this part of the portfolio and how much might be due to the out-of-home reopening in many of your markets?
Zoran Bogdanovic: Hi, Alicia. Yeah. Spot on, look, it’s a result of two things. So, first of all, this year, we are benefit -- benefiting from the reopening of the out-of-home. You know that in out of home, this is basically where we are. That’s the strength of our single serve offering, and therefore, we are seeing significant growth of single serves, which in the, let’s say, in Q2, continued with growth and increased mix of 3.8%. Second driver is the fact that, year -- every year, we are highlighting how much we focus on single serve, and therefore, we are increasing every year contribution of single serves in our total mix, because not only -- not only because of away from out-of-home parts of the market, but also the focus we are putting behind more and more of single serves for at-home, whether it’s a single pack or through various formats of single serves in multi-packs, which we also very often do cross category merchandising, various cross category bundles and offers, especially benefiting on the understanding how during COVID and post-COVID some of the consumption patterns at home have evolved and there is an opportunity for the single serves. So, overall, it’s good to see that our single serve mix has increased more than 2 percentage points versus 2019.
Alicia Forry: Got it. Thank you. And my follow-up, if I can, is on the re-launch in Switzerland into fully recycled PET packaging. I wonder if you could talk a little bit about your experience during that transition kind of reaction from retailers, anything that you may have communicated to the consumer or just anything you can share on that kind of very significant developments there?
Zoran Bogdanovic: Yeah. So -- excellent. So, first of all, even though it’s early. However, I think the approach that Switzerland team has done in the way they have prepared this and launched this is exemplary a way how this should be done in a 360 way. By that, I mean that, first of all, we do what is right in terms of the packaging and in terms of our -- in line with our commitment. But also that it also serves the purpose partnering with customers and then doing the proper communication so the consumer is aware what is being done and that whole communication approach and overall has been done hand-in-hand with the Coca-Cola Company team, because it’s our joint commitment. So customer’s willingness and drive for this has been very strong. So that’s why I would say it was a perfect environment and situation in which this has landed well, and therefore, this initial traction is quite good.
Alicia Forry: Thank you.
Operator: The next question is from Yubo Mao with Morgan Stanley. Please go ahead.
Yubo Mao: Good morning, Zoran, Ben and Joanna. Can I have a quick question on Ukraine, your Q2 volumes were down 45%, but obviously, the business is recovering. Can you tell us about the exit rate rates and how the operations have recovered in July and August? Thank you.
Zoran Bogdanovic: Yeah. Yeah. Hi, Yubo. For sure. First of all, reminder that in Ukraine, our absolute undisputed priority is that is safety of our people and supporting them. So, because everything that is going on in Q2, we have seen, as expected acceleration of the decline, which was close to 50% in volume terms, which due to the restart of our plant in May, which then gradually ramped up through June at the request of our employees and customers and to support community. We started also selling in the parts of Ukraine where this is safe to do so and that’s why we have seen that decline is not as big as what I said in Q2. So let’s say that it’s half in what we have seen, let’s say, in July. But still no doubt that its double digits below last year. However, I just want to reiterate, that’s not something that we are observing as a part of our performance management.
Yubo Mao: Absolutely. Can I have a follow-up on OpEx, please? Can you perhaps talk about the moving parts in the savings you have achieved in H1, just wondering what the split was between lower SG&A and marketing, please? Thank you very much.
Joanna Kennedy: Operating expense.
Zoran Bogdanovic: You said OpEx, right?
Yubo Mao: That’s right.
Zoran Bogdanovic: Yeah. Ben, do you want to.
Ben Almanzar: Okay. Thank you. So we have really maintained a good level of discipline in OpEx. As I mentioned initially, we have continued to invest in marketing. So that savings is not driven by marketing. So the increase -- we have increased marketing by 9% in the first half versus prior year. The rest is driven by really cost discipline and combined, obviously, with the positive leverage of time in the business and the topline.
Yubo Mao: Okay. Understood. Thank you very much.
Operator: The next question is from Charlie Higgs with Redburn. Please go ahead.
Charlie Higgs: Hi, Zoran, Ben and Joanna. Thanks for the question. My first one, again, is going back to Russia and I was just wondering if you could talk about the asset base in Russia. I know you have put recent impairments. Is the plan to keep the existing 10 factories and the Sparkling production lines in case situations do improve in the Coca-Cola portfolio, would love to come back, can you maybe just talk about that, please?
Zoran Bogdanovic: Hi, Charlie. Sorry, can you just clarify, I didn’t hear quite exactly what was the -- you said in Russia to clarify what, I didn’t understand.
Charlie Higgs: Yeah. So it’s -- in Russia, are you keeping the existing 10 manufacturing plants or are you going to…
Zoran Bogdanovic: Yeah.
Charlie Higgs: … sell some of those, like, some other multinationals have done?
Zoran Bogdanovic: Okay. Thanks, Charlie. Let me start with that answer. We are not planning to sell our Russian plants. We have impaired them, as you saw, part of them, in terms of the asset base, reflecting the new business model. But, no, we are not considering disposing them.
Charlie Higgs: Okay. Thank you. And then my follow-up is just on the very strong value share gains you had in H1 of 210 bps in Sparkling, even with the price increases you put through. Could you maybe just talk a bit about where those are coming from, is that mainly just we are outperforming in single serve versus competitors that would also happen in the at-home channel as well, just some more color around those with very strong share gains, please?
Ben Almanzar: Absolutely, Charlie. First of all, in terms of -- across the Group, the share gains has been driven by all brands in Sparkling, and Coca-Cola and Flavors and Adult. So that’s one thing to note. As well as that, let’s say, critical categories of non-Sparkling driving good share gains, starting with Energy that almost 4 percentage points up, very good share gains in juices, 1.6 percentage points and also in water, where we focus clearly on value, we are having share gains. So that’s across the categories and also in terms of the countries, are -- especially big markets are driving good share gains through, like, Poland, Nigeria. We mentioned in Egypt, Ireland, Switzerland, so there is a majority of markets, also including Italy. So there is a big majority of markets where we are having share gains, which is quite encouraging at the back of share gains we also had last year.
Charlie Higgs: Perfect. Thank you very much.
Operator: The next question is from Gen Cross with BNP Paribas Exane. Please go ahead.
Gen Cross: Hi, there. Sorry, if I could just go back to the Russian business, if I think about the shape of the business going forward, could you talk a little bit about what the either the historical volume growth profile is or what you expect the mid-term volume growth to be? Thank you.
Ben Almanzar: Historically, what you can see, as a reminder, Russia was like a mid single-digit type of volume growth market. Now it’s very hard to estimate what this would be going forward. It’s a tectonic change in this, what’s going to be significantly smaller business. So it’s very hard to predict how this will be and we will be able to give you more fair and accurate input on that question probably in six months.
Gen Cross: Thank you very much.
Ben Almanzar: You are welcome.
Operator: Ms. Kennedy, gentlemen, there are no more questions registered at this time. The floor is back to you for any closing remarks.
Zoran Bogdanovic: Oh! Thank you. Thank you all for your time and questions and interest. We believe that the results we announced today underline the fundamental attractiveness of the markets where we operate, as well as the strength of our execution and capabilities. I strongly believe we are well prepared to adapt and seize future opportunities in our industry. We look forward to speaking to you all again soon.